Stewart Joseph Grisante: Good afternoon, and welcome to Repay's Third Quarter 2025 Earnings Conference Call. With us today are John Morris, Co-Founder and Chief Executive Officer, and Robert Hauser, Chief Financial Officer. During this call, we will be making forward-looking statements about our beliefs and estimates regarding future events and results. Those forward-looking statements are subject to risks and uncertainties, including those set forth in the SEC filings related to today's results and in our most recent Form 10-K. Actual results may differ materially from any forward-looking statements that we make today. Forward-looking statements speak only as of today, and we do not assume any obligation or intent to update them, except as required by law. In an effort to provide additional information to investors, today's discussion will also reference certain non-GAAP financial measures. Reconciliations and other explanations of those non-GAAP financial measures can be found in today's press release and in the earnings supplement, each of which are available on the company's IR site. With that, I will now turn the call over to John.
John Andrew Morris: Thanks, Stewart. Good afternoon, and thank you for joining us today. During the third quarter, Repay executed on our promise to sequentially improve growth in the second half of the year. Our core growth strategy is built on our drive to optimize digital payment flows across our consumer and business payment verticals. We embed our payment technology into software platforms for a seamless experience. And during 2025, we remain focused on the path of returning to sustainable growth as we exit the year. In Q3, we achieved 5% revenue growth and 1% gross profit growth on a normalized year-over-year basis, which excludes the political media contributions during 2024. Our adjusted EBITDA margins remain robust at 40%, and we continue to generate strong free cash flow conversion of 67% while reinvesting into organic growth initiatives. These financial results demonstrate the strategic improvements that are underway. Across Repay, we have been enhancing our go-to-market implementation pipelines and operations. We're automating processes, strengthening partnerships, enriching our capabilities, and fine-tuning our clients' experience. We are testing and deploying AI tools across the company to build Repay for a scalable future. Repay is using real-time API observability for our gateway monitoring, which is leading to some of the highest authorization and uptime across the industry. We have been utilizing assisted AI functionality during the client onboarding process for faster API connectivity with software partners, reducing manual documentation, and improving implementations. During the quarter, we developed Repay's Dynamic Wallet, allowing loan payments to be seamlessly integrated into iOS and Android's digital wallet. Dynamic Wallet provides instant access to loan details, reminders to make payments on time, and tap and pay directly within the consumer's digital wallet. Easier access leads to a better customer experience for our clients and increased digital payments for faster and secure transactions. Also, we have been adding new software partners during the quarter. We added five new software partners, bringing our partnership network to 291 across our consumer payments and business payment segments. Our investments in enterprise sales and customer support teams have built a healthy sales pipeline across the verticals we serve. This is reflected in sustained year-to-date bookings growth. Additionally, operational initiatives are leading to improved productivity, increased automation, and quicker implementation workflows. As these positive trends continue, our normalized growth is expected to sequentially improve further in the fourth quarter. Now moving on to our Q3 segment highlights. Within the Consumer Payments segment, reported gross profit increased 1% year over year. Our core growth algorithm is built on both the recurring and incremental contributions from existing clients and the ramp of recent client wins. As a reminder, Q3 gross profit growth was partially impacted by approximately 3% from the previously mentioned clients rolling off our platform. Without these impacts, gross profit increased single digits year over year. In Q3, we increased our consumer software partnerships to 188 while also enhancing many existing integrations to further improve client and customer experience. During September, we announced a partnership with Alpha Systems, a leading provider of SaaS software within the auto and equipment financing industry. The partnership combines AlphaSystem software with a complete solution of payment acceptance across modalities and channels. Financial institutions and lenders that use Alpha's loan management platform can utilize Repay's out-of-the-box seamless payment experience while also streamlining their internal accounting and reconciliation processes. This partnership is a great example that embodies Repay's embedded payment strategy while also presenting additional subvertical growth opportunities. We also announced a new integration with Fuze, an AI-powered LOS platform that serves banks, credit unions, and financing institutions. Fuze's software embraces automation capabilities while also now embedding Repay's secure payment processing technology directly into workflows to enhance financial institutions' operations. By combining our extensive software partners that span across our consumer verticals with our direct go-to-market approach, our sales teams are building on strong sales and booking pipelines by adding many new clients, including 11 new credit union wins in our financial institutions vertical. Year to date, core consumer bookings have continued to increase from this go-to-market strategy. Our teams are continuing to focus on client implementations and ramp processes. The momentum we see in software partners, sales bookings, and improving implementation workflows instills our confidence in our sustainable growth profile as we exit the year. Now turning to the Business Payments segment. In Q3, normalized gross profit increased 12% year over year, which excludes the political media contributions during 2024. Please keep in mind that we also lapped approximately 10% impact from last year's client loss. Without these impacts, our gross profit growth was over 20% year over year. Business payments growth was driven by our accounts payable platform and payment monetization initiatives of floating common and expanding our enhanced ACH offering. We continue to win and implement new clients in our healthcare and hospitality verticals, leading to double-digit growth in our core AP platform. Our strategic focus is on increasing total pay adoption, as we continue to prioritize our go-to-market and partnership resources towards AP opportunities. Our supplier network increased to over 540,000 suppliers, growing approximately 60% year over year. As we see great traction in our hospitality vertical, and we are building on existing software relationships such as Blackbaud in our education and nonprofit verticals. We also recently announced a new integration with Youse, a leading provider of AP automation software across multiple industries. Repay's directly embedded technology ensures timely vendor payments while improving productivity by reducing the need for manual processes organizations. We are pleased with the business payments momentum for our sales teams and expect to see sustained AP traction from our 103 strategic partnerships and embedded integrations. In Q3, Repay took positive steps in the right direction through execution. We returned to profitable normalized growth while generating significant free cash flow and maintaining a strong balance sheet for financial flexibility. We opportunistically deployed capital towards our organic growth initiatives, repurchased approximately 3% of our outstanding shares in August, bringing our total share repurchases to $38 million year to date, and reduced our debt outstanding by retiring $73.5 million of our 2026 convertible notes at a discount. Looking forward, we expect the momentum to continue, giving us confidence across both consumer payments and business payments into Q4 2025. And lastly, I would like to welcome Rob Hauser, Repay's Chief Financial Officer, who joined the company in September. Rob has already hit the ground running, bringing over a decade of payment experience and a proven operational track record. I look forward to working with Rob to build on Repay's success. With that, I will turn the call over to Rob to review our Q3 financials.
Robert Hauser: Thank you, John, and good afternoon, everyone. First, I'm very excited to join Repay. My first couple of months have been incredible and busy. I've been learning about the company culture and technology, all of which have confirmed my belief in the opportunities ahead. Repay is a tremendous payment platform across our consumer and B2B verticals that is positioned to benefit from the secular digital payment trends. I look forward to digging deeper and getting to work and helping drive the company forward. Now let's go over our financial results for Q3 2025. Revenue was $77.7 million, and gross profit was $57.8 million. Normalized revenue growth and gross profit growth increased 51%, respectively, which excludes the political media contributions during last year's presidential election cycle. Our Q3 growth was impacted by approximately 4% as we continue to lap the previously discussed client losses from 2024. When excluding these impacts, Q3 gross profit increased mid-single digit year over year. During Q3, our gross profit margins compressed approximately 3.4% year over year. Our gross profit margins were impacted from lapping one-off client losses and contributions from political media, a larger mix of clients with volume discounts as our client base volumes continue to grow significantly, and we continue to ramp enterprise clients with volume pricing. An increased mix of revenue from ACH and check volumes. As our clients adopt more of our modalities and undergo provider consolidation, we are processing more of our clients' overall volumes. In addition, we have experienced an increase in average transaction value as we continue to move upmarket towards larger enterprise clients. Higher overall transaction values caused higher than expected assessment fees on capped interchange lines. Going forward, we expect these impacts to continue. Consumer payments gross profit increased 1% year over year. Our 3% impact from one-off client losses, gross profit increased single digits during the quarter. Business payments normalized growth profit increased approximately 12% in Q3 2025. In addition, business payments growth was impacted by an approximate 10% headwind related to the previously communicated client loss during 2024. Q3 adjusted EBITDA was $31.2 million, representing approximately 40% adjusted EBITDA margins. Throughout 2025, Repay has been able to manage OpEx while balancing resource allocation and making incremental investments towards the sales, implementation, and client service teams to support future growth. Third quarter adjusted net income was $18.2 million or $0.21 per share. Free cash flow was $20.8 million during the quarter, resulting in 67% free cash flow conversion and demonstrating our solid cash generation as we execute towards sustainable profitable growth. As of September 30, we had approximately $96 million of cash on the balance sheet with access to $250 million of undrawn revolver capacity for a total liquidity amount of $346 million. Repay's net leverage was approximately two and a half times. During the third quarter, we opportunistically reduced debt outstanding by retiring $74 million of our 2026 convertible notes at a discount to principal value. Total outstanding debt of $434 million is comprised of a $147 million convertible note due in February 2026 with a 0% coupon and a $288 million convertible note due in 2029 with a 2.875% coupon. In addition, as the company previously announced, Repay reduced outstanding shares by repurchasing approximately 3.1 million shares for $15.6 million in August. We repurchased a total of $38 million and 7.9 million shares year to date, reducing fully diluted shares outstanding by approximately 8%. As of September 30, we had approximately 92 million shares outstanding with $23 million remaining under our existing share repurchase program. As we move into the fourth quarter, we're refining our financial outlook. In Q4, we now expect 6% to 8% normalized gross profit growth and free cash flow conversion to be greater than 50%. Our updated outlook reflects the normalized growth that Repay can sustainably achieve as we benefit from secular digital payment tailwinds, growth from existing clients, and the ramp of new clients onto our platform. Our go-to-market and sales pipeline remains robust, which will continue to lead to solid volume and revenue growth opportunities. However, normalized gross profit growth is expected to be towards high single digits, which is at the low end of the previously issued growth due to ongoing margin pressures we saw during Q3. Going forward, we expect gross profit growth to be impacted from an increasing mix of larger clients with volume discounts and pricing, an increased mix of ACH and check volumes, and higher overall transaction values. Additionally, the Q4 growth outlook naturally benefits from fully lapping one-off client losses from 2024. The Q4 normalized growth would be closer to the lower end of the updated range if we didn't experience this benefit during Q4. And as a reminder, our reported financials will be lapping strong political media contributions causing an approximate 10% impact to Repay's Q4 reported growth. The updated Q4 free cash flow conversion outlook is expected to be above 50%, compared to the prior outlook of 60%, due to the timing of net working capital. For the remainder of 2025, our capital allocation priorities remain focused on organic growth investments, managing CapEx as a percentage of revenue, maintaining a strong balance sheet with liquidity, and incremental cash generation to address the remaining February 2026 convertible notes at maturity. We plan to use cash on hand to further reduce a portion of our outstanding debt while also using our revolving credit facility for the remaining balance at maturity. And under our current share buyback authorization, we are able to opportunistically repurchase shares. In addition, we continue to be open to M&A to further accelerate Repay's position and growth potential. Over the next few months, I look forward to building my first hundred days as we begin the budget process for next year. We plan to provide details related to our 2026 outlook and capital allocation strategy on our next earnings call in early 2026. Until then, I'm going to meet with all of our shareholders and analysts while continuing to execute towards our updated Q4 outlook. Thank you. I'll now turn the call over to the operator to take your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. If you would like to ask a question, please press star and one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star and 2. For participants using speaker equipment, it may be necessary to pick up your before pressing the star key. Ladies and gentlemen, we will wait for a moment while we poll for questions. The first question comes from the line of Peter Heckmann from D.A. Davidson. Please go ahead.
Peter Heckmann: Hey. Good afternoon. Thanks for taking the question. In terms of the free cash flow outlook, I guess, do you see that trending into 2026? You know, we've seen, you know, fairly strong or fairly high free cash flow conversion in some years and kind of off in some years. But I think your updated guidance is now greater than 50% for 2025. I guess, you know, kind of best guess is for 2026. How are you positioning that?
Robert Hauser: Hi, Pete. It's Rob. Thanks for the question. Yeah. So we're I can lay out how we're thinking about it for Q4, and we're gonna give 2026 guidance in the next earnings call. But we're rolling you know, we'd expect to be in the upper fifties in Q4, and it's really due to just working capital timing. We had a 67% free cash flow conversion in Q3, which was pretty strong. As we talk about working capital and some of the margin compression that we laid out on this call, we're holding around the upper fifties. And I would model it that as our exit rate going into 2026.
Peter Heckmann: Okay. That's helpful. And then just can you remind us, it may be in the appendix of the slide deck, but just the specific political media spend headwind from the fourth quarter of last year.
Robert Hauser: Yeah. So the headwind we had in the fourth quarter last year was $4.6 million of gross profit. For the fourth quarter of last year and on an annual basis, the political media was around $11.75 million for fall 2024.
Peter Heckmann: Okay. On a gross profit basis. Got it. Alright. I'll get back in the queue. Appreciate it.
Robert Hauser: Yeah. No problem.
Operator: Thank you. Ladies and gentlemen, if you wish to ask a question, please press and one. The next question comes from the line of Tim Chiodo from UBS. Please go ahead.
Timothy Chiodo: Great. Thank you for taking the question. I was hoping you could expand a little bit upon within the B2B business. The Visa commercial enhanced data program, the CEDT, that's been rolling out this year. Talk a little bit about the various data requirements, maybe how they differ from the prior level two, level three requirements, what you think this might mean for overall B2B interchange, what are some of the puts and takes there? And, of course, I believe there's a slightly higher network fee associated with it as well. We would appreciate any of the context on your business and for the industry overall.
John Andrew Morris: Hi, Tim. So, good evening. How are you? This is John. And specifically, was your question on the B2B side? Was it associated with the AP side or the AR side? You may have not been specific. I'll talk a little bit about that. It's a very detailed question as well, so I won't go so deep.
Timothy Chiodo: Okay. I guess on the AR side, it might mean slightly lower interchange. And on the AP side, I'm sorry. Hold on. So might be slightly lower as well. So I was just wondering I mean, I guess both is the short answer. But, really, I was hoping you could talk about what the requirement changes are, if there's anything you need to do differently on the AR side. And then what it might mean in terms of the interchange rates that you might earn on the AP side. And then, also, there's that little extra network fee, I believe, as well.
John Andrew Morris: Yeah. So there's I'll start on the so level ultimately, it's level two, three, and level two itself is going to be going away. And that's really talking about the enriched data coming out of the invoices coming really from the mostly from the accounting ERP systems. And there's several different requirements there to go through that, and those have to be passed through with the transaction to qualify for the level three rates. The level three rates themselves are a little bit better. But the level two rates, you have to now add some additional incremental pieces of data to that to get to qualify for the level three rates. We obviously are very aware of that. Visa is really associated with Visa. And those requirements are actually, Visa is fine-tuning some of those things as you uniquely this will come out ultimately in the next spring. But they're doing testing with many of those things today. So we're working through that. Our ability to pull data, our embedded solutions is a positive thing for us. Meaning, like, we have the ability to be able to go and work with our ERP systems to achieve that. But it's a work in process for most everybody in the industry. As those are a few changes that have come about. And on the AP side, obviously, we have virtual cards that can be Visa or Mastercards. So we would look to optimize what's best in our favor on the AP side as in that case, we're receiving interchange on the AP side. So we would optimize what's the best rate for us there.
Timothy Chiodo: Understood. Alright. Thank you so much.
Operator: Thank you. Ladies and gentlemen, if you wish to ask a question, once again, a reminder, ladies and gentlemen, if you wish to ask a question, we take the next question from the line of James Faucette from Morgan Stanley. Please go ahead.
Shefali M. Tamaskar: Hi. This is Shefali Tamaskar on for James. Thanks for taking my question. Just on consumer payments, in the presentation, you called out some pockets of consumer softness. Could you speak to what subverticals you're seeing this in most and what trends have looked like through early November, if possible?
John Andrew Morris: Sure. So good evening, Shefali. So from an overall perspective, on the consumer side, we would consider a stable consumer on the marketplace. Obviously, we're not the actual those are not actually our end customers. Our customers are businesses. But we consider a stable consumer. And then softness wise, we've talked about previously that we saw some softness in the automotive to used car piece of that. We think that's still relatively in the same position there. And that would be consistent with what we've seen previously, and we see that consistently the same now.
Shefali M. Tamaskar: Great. That's helpful. And then you mentioned also being open to M&A as you look ahead to '26. So I just wanted to hear about what potential targets look most interesting to you in terms of where you're seeing most like subvertical momentum across business payments and consumer payments? I know you've previously called out B2B being the more focused point for M&A, but curious how the pipeline looks today.
John Andrew Morris: Sure. So a couple of things. So as we mentioned earlier on the call, we actually take we bought back stock up to 8% of the stock in the July, August time frames. And then we actually, as you've heard as well, we retired $73.5 million of our February convertible debt. That's still a priority for us from a capital allocation perspective is addressing our February maturity, which we expect to do. But from an M&A pipeline perspective, we do see a healthy pipeline of some activity in the marketplace. We are gonna obviously always pay attention to opportunistically where that is. We see that both in consumer and B2B. And just for clarification, we bought 3% in August, 8% year to date. Just wanted to get that clarification when we bought back stock.
Shefali M. Tamaskar: Got it. Thank you.
Operator: We take the next question from the line of Alex Newman from Stephens Inc. Please go ahead.
Alex Newman: Hi. Thanks for taking the question. I just wanted to double click on the nature of the net working capital that's leading to the lower of the free cash flow conversion? Thank you.
Robert Hauser: Yeah. I mean, it's hi. How are you doing, Alex? This is Rob. It's really just when we snapped the line on when working capital. And you know, like I said, when we've been generating pretty good free cash flow. Conversion at 67% in the quarter. And the guide slightly down from what we had in Q4 previously at 60% to above 50% is literally just timing of when we snap the chalk line on working capital. For the year as well as the compression that we talked about for going upmarket and some of the pay modality mix that we saw that fell through on the GP is probably the biggest driver to where the guide now is above 50%. But we continue to yeah. Go ahead. Go ahead.
Alex Newman: No. Sorry.
Robert Hauser: No. I was just gonna finish that. We continue to generate free cash flow, really good free cash flow conversion. Again, it was just really snapping the chalk line on when the working capital falls through.
Alex Newman: Got it. And then a couple of quarters ago, you announced a partnership with the Gateway in Canada. I was just wondering if you could update us on that partnership and how that's ramping.
John Andrew Morris: We're still working through our implementation integrations there, so no major real update associated with that currently.
Alex Newman: Got it. Thank you.
Operator: Thank you. Ladies and gentlemen, a reminder, ladies and gentlemen, if you wish to ask a question, please press star and 1. As there are no further questions, I would now hand the conference over to the Co-Founder and Chief Executive Officer John Morris, for his closing comments.
John Andrew Morris: Thank you, everyone. I do have a slight correction on our supplier count that we mentioned earlier on the call. We're exiting Q3 with 524,000 suppliers. A very good number for us. We're excited about our growth rate there. As I close this out, thank you for your time today. Continue to make great progress in our strategic initiatives. Remaining focused on returning to profitable normalized growth, generating strong free cash flow, and maintaining a strong balance sheet for financial flexibility. Thanks again for joining us.
Operator: Thank you. Ladies and gentlemen, the conference of Repay Holdings Corporation has now concluded. Thank you for your participation. You may now disconnect your lines.